Operator: Ladies and gentlemen, thank you for standing by. Ladies and gentlemen, welcome to Sapiens International Corporation's 2025 First Quarter Financial Results Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. It is now my pleasure to introduce your host, Yaffa Cohen-Ifrah, Chief Marketing Officer and Head of Investor Relations. Thank you, Yaffa. You may now begin.
Yaffa Cohen-Ifrah: Thank you, Operator. I want to welcome you to the Sapiens International Corporation conference call to review our first quarter of 2025 results. Joining me on the call today are Mr. Roni Al-Dor, President and CEO, Mr. Roni Giladi, CFO, and Mr. Alex Zukerman, Chief Strategy Officer. Following the summary of the results, we will all be available to answer any questions. Before we start, I would like to remind everyone that this conference call may contain projections or other forward-looking statements. The Safe Harbor provision in the press release issued today also applies to the content of the call. Sapiens International Corporation expressly disclaims any obligation to update or revise any of these forward-looking statements, whether because of future events, new information, a change in its view or expectations, or otherwise. On today's call, we will refer to the non-GAAP financial measures. Reconciliation of GAAP to non-GAAP results has been provided in our press release, which was issued before the market opened this morning. A replay of this call will be available after the call on our Investor Relations section of the company website or via the website link, which is available in the earnings release we published today. I will now turn the call over to Roni Al-Dor, President and CEO of Sapiens International Corporation. Roni?
Roni Al-Dor: Good morning, everyone, and thank you for joining us today for Sapiens International Corporation's first quarter 2025 earnings call. This quarter showcased solid operational execution across our key regions, led by continued momentum in our Life business with notable strength in North America. Demand is building for our solution, and we believe we are well-positioned with a robust portfolio to meet the evolving needs of our clients and capture new opportunities in the market. I would like to begin by discussing two exciting strategic M&A transactions that Sapiens International Corporation recently announced. Sapiens International Corporation has implemented a growth strategy that includes several levers to accelerate our businesses, an important one of which is acquisitions. Our approach is to explore strategic M&A opportunities and target them with the recipients to reach its strategic objectives, typically around the following areas: adding complementary solutions to our portfolio that strengthen our value proposition, adding new capabilities to our platform offering, accelerating customer acquisition, attracting top insurance talent, and driving scalable geographic expansion. On April 22, we announced the acquisition of Candela, a leading intelligent automation company serving blue-chip life insurance clients in the APAC market. This acquisition enhances the capabilities of our Life platform and expands our footprint in APAC. Candela offers an end-to-end smart insurance automation platform along with digital services and solutions. The company brings 23 customers to Sapiens International Corporation, primarily in the rapidly growing markets of Singapore, Malaysia, Thailand, Hong Kong, and South Africa. With an expanded physical presence in the region, we are better positioned to accelerate penetration gains in the APAC market. With nearly thirty years of deep industry expertise and teams of over 100 employees, Candela's strong track record will serve as an important catalyst to support Sapiens International Corporation's strategy in APAC while providing innovative new capabilities to Sapiens International Corporation's global customer base. Candela's solutions are complementary to Sapiens International Corporation's life insurance platform, which we intend to leverage to enhance our life offering globally. In addition to Candela, on April 28, we announced the acquisition of Advantage Go, a leading commercial insurance software provider specializing in underwriting workbench solutions for both the London market and broader global specialty and commercial markets. This strategic acquisition significantly enhances Sapiens International Corporation's global P&C proposition, adding cutting-edge underwriting workbench capabilities that address one of the most critical challenges in the P&C industry today: managing, assessing, and writing risk more effectively. Our analysis shows that this market segment is rapidly growing across both North America and EMEA, in correlation with insurers' need to improve risk management. This Advantage Go segment will expand across the London specialty market and other specialty hubs such as Bermuda and Singapore, and in the specialty and commercial market across EMEA, APAC, and North America. Our vision is to integrate Advantage Go's solutions into Sapiens International Corporation's insurance platform for P&C while also offering them as a standalone product. This approach enables us to address both new prospects and existing customers, enhancing our value proposition across multiple markets. This acquisition aligns with Sapiens International Corporation's strategy to accelerate penetration into the London specialty market and strengthen its support for its value proposition to the P&C insurers for the reinsurance market. The London specialty market is a global hub for complex and high-risk insurance and reinsurers, where brokers and underwriters negotiate bespoke coverage primarily through Lloyd's London and the London company market. The London specialty market is one of the largest in the world and represents a significant opportunity for Sapiens International Corporation to expand its footprint. The Advantage Go segment is growing significantly as insurers recognize the value of sophisticated decision support tools. The demand for underwriting workbench is growing, and according to the research firm Celent, the number of workbench deals is expected to rise in 2025 and 2026. Advantage Go will also strengthen Sapiens International Corporation's value proposition in the North America P&C market, enhancing its capability for insurers operating in the complex specialty and commercial lines. Now moving on to discuss the first quarter of 2025. Revenue in the first quarter of 2025 totaled $136 million compared to $134 million in the first quarter of 2024. In Q1 2025, we had a negative currency impact compared to Q1 2024. On a constant currency basis, our revenue would have been $2 million higher. In Q1, we continued to sign new deals and expand relationships with existing customers across both Life and P&C segments. Less than one year since the launch of our insurance platform, we are already seeing promising customer adoption, a clear indication that our strategic investments are resonating with the market and delivering results. We are continuing with the transition of existing customers to the cloud while also onboarding all new customers to Sapiens International Corporation's Cloud. Let's drill down into our regional performance. First, our North America business continued its growth trajectory this quarter with accelerating demand for life and annuity solutions. Our Life and Annuity business has benefited from strategic investments we have made to drive growth, and our new business wins reflect the success of these initiatives. In the first quarter, we had multiple wins with new and existing customers, which underscores confidence in Sapiens International Corporation to innovate, support business transformation, and help solidify their competitive position. During the first quarter, we signed a new life platform deal in North America, which is incremental to the two life platform deals signed in North America last year. As we reported this quarter, a major U.S. multi-line insurer expanded its partnership with us by selecting Sapiens International Corporation's insurance platform for life and annuities, which includes Sapiens International Corporation's core suite for life annuities, Sapiens International Corporation's data suite, and Sapiens International Corporation's Cloud Services. For nearly a decade, this existing customer has utilized Sapiens International Corporation's underwriting pool, and the implementation of Sapiens International Corporation's insurance platform will further accelerate its digital transformation. In addition, this quarter, we had several go-lives across our Life Solutions portfolio, including illustration pool and underwriting pool, while also making innovative progress with several important product upgrades. During the first quarter of 2025, we announced the release of Sapiens International Corporation's Underwriting Pro version 14, which is our award-winning, most advanced automated underwriting and new business case management system for life and annuities insurers. It delivers significant technical enhancements, accelerates greater operational efficiency, seamless communication, and advanced AI-driven capabilities. Also during this quarter, we announced the latest release of Sapiens International Corporation's Illustration Pro and Sapiens International Corporation's Application Pro, featuring enhanced automation, risk intelligence, and operational efficiency, empowering agents and advisors to illustrate policies, manage users, and integrate seamlessly with underwriting and sales platforms. Turning to workers' compensation, this market continues to hold strong potential for Sapiens International Corporation throughout the U.S. and Canada over the coming years. Over the course of the first quarter, our workers' compensation team has demonstrated progress in the implementation of several key projects, as evidenced by the completion of two go-lives using CoreSuite for critical workers' compensation upgrades. Let me switch to discussing the performance of our CoreSuite P&C in North America. Sapiens International Corporation continues to invest in the North America P&C platform with data suite integration set for 2025, which will enable AI automation and advanced analytics. I am happy to share that we signed a new P&C deal for claims processing with a North America-based customer in this quarter. With continued diligent investment in our platform, we are seeing initial positive trends in 2025, and as I mentioned before, the acquisition of Advantage Go will enhance our P&C platform for the North America market. Moving to Europe and the rest of the world, in the European market and the rest of the world, which includes APAC and South Africa, demand for Sapiens International Corporation's solutions remains solid. In Q1, we secured multiple deals across Life and P&C with new logos as well as existing customers in the region. We had numerous successful go-live projects for customers with our EMEA suite, CoreSuite for Life, TIA suite, and reinsurance master upgrades. A significant highlight in the quarter is the go-live with our existing P&C customer, Hiscox. As a leading insurer in the UK and a Sapiens International Corporation partner for over a decade, Hiscox provides tailored solutions for businesses and high-net-worth private clients. This important step forward is indicative of Hiscox's commitment to enhancing business performance, resilience, and customer satisfaction. I want to highlight that Hiscox's UK migration to Sapiens International Corporation's latest cloud-native architecture delivered an immediate average improvement of 30% in application speed, along with improved operational productivity and more consistent service delivery. P&C expansion is a top priority for Sapiens International Corporation, and the recent acquisition of Advantage Go strengthens our value proposition in specialty and commercial P&C markets while providing immediate access to the London specialty market. Moving to the Life and Pension segments, this quarter, we signed new deals with Universal Life, a leading life and health insurer based in Cyprus. As part of the conditional agreement, Universal Life will leverage Sapiens International Corporation's CoreSuite for Life and Pension to modernize its core insurance processes and drive strategic growth initiatives. Following an extensive evaluation process, Universal Life chose Sapiens International Corporation, which validates our superior digital SaaS solution for both individual and group life pension projects. Also this quarter, one of the largest global life insurers has selected Sapiens International Corporation's insurance platform for life and pension to drive digital transformation for its Czech Republic business, modernize its core insurance processes, and accelerate its growth strategy. The insurer was looking to replace its legacy platform with an innovative core system that would empower the company to integrate new technologies and expand functionalities as it scales. Sapiens International Corporation's robust cloud-based digital platform will optimize efficiency, simplify policy and claims management, and improve digital engagement for both customers and brokers. This collaboration expands Sapiens International Corporation's presence in Central and Eastern Europe, reinforcing our commitment to delivering innovative insurance solutions worldwide. Moving to reinsurance, we are seeing growing demand from insurers across all tiers—high, medium, and low—as they look to modernize and streamline their reinsurance operations. We continue to expand across North America, Europe, and APAC with our reinsurance master and reinsurance pool solutions. Moving to the APAC region, the momentum at the end of last year has continued into the first quarter of 2025. The region remains a priority for us, and we continue to focus on accelerating growth, which the Candela acquisition supports. In the quarter, we secured a new APAC win for P&C with Pioneer Insurance and Surety Corporation, a leading insurance provider in the Philippines. Pioneer chose Sapiens International Corporation's insurance platform to drive its digital transformation and UX enhancement. This is an important new win in the region that reinforces our commitment to improving core processing through our advanced technology, enabling our customers to navigate evolving market trends with precision. Innovation remains a cornerstone of our playbook. Our AI-based Sapiens International Corporation insurance platform continues to evolve with specializations in addressing the unique requirements of each business vertical or domain. We are integrating AI across our core data digital solutions to enhance automation, improve decision-making, and drive greater efficiencies for insurers. By embedding AI-driven capabilities into our core systems, we enable smarter underwriting, more accurate risk assessments, and streamlined claims processing. Our roadmap is robust as we continue to develop a holistic Gen AI-based co-pilot experience across the entire platform, further enhancing the value we deliver to our customers. Before I wrap up, I would like to reiterate our focus for 2025. We are committed to building a robust pipeline and expanding our client base across all key markets. To support this commitment and achieve our goals, we are focusing our teams' resources on sales, platform innovation, and advanced AI capabilities. We will continue investing in Sapiens International Corporation's intelligent insurance platform to drive sustainable growth globally, improving our competitive position. Second, increase cross-sell and extend relationships with existing customers. Cross-selling to existing customers represents a significant opportunity for growth. Third, accelerating cloud adoption for our existing customers to a scalable, efficient SaaS model. Our advanced solutions are experiencing strong momentum in customer utilization and will remain on pace to achieve our target penetration rate of over 60% within the next five years. Fourth, immense growth in our life businesses globally. The demand for life system transformation is strong as insurers seek to modernize legacy infrastructure. The market shift presents a significant opportunity for our life offerings. Fifth, we will continue building out our system integration partnerships globally. Our pipeline is strong and expanding, and we are enthusiastic about the new opportunities resulting from our collaboration with integrators throughout the global markets we operate in. And lastly, following the Advantage Go acquisition, we see an opportunity to expand our global P&C platform with underwriting workbench risk management capabilities and strengthen Sapiens International Corporation's value proposition across global commercial specialty and London market segments. I will now turn the call over to our CFO to provide more detail on our financial performance. Roni?
Roni Giladi: Thank you, Roni. I will begin my commentary by reviewing the first quarter 2025 non-GAAP results, followed by comments on the balance sheet and cash flow. I will wrap up with our updated guidance for 2025. Revenue in the first quarter of 2025 totaled $136 million, an increase of 1.4% compared to $134 million in the first quarter of 2024. In Q1 2025, we had a negative currency impact compared to Q1 of 2024. On a constant currency basis, our revenue would have been $2 million higher. Looking at our revenue by geography, revenue in North America totaled $57 million, an increase of 3.1% compared to last year. Revenue in Europe totaled $67 million, a decrease of 1.8% compared to last year. On a constant currency basis, our revenue in Europe would have been 0.6% higher. Revenue in the Rest of the World, which includes South Africa and APAC, totaled $12 million, a 13.4% increase compared to last year. For Q1 2025, our annualized recurring revenue (ARR) totaled $187 million, reflecting an 11.8% increase from Q1 of 2024, mainly due to new logos we signed last quarter. Our revenue mix showed that revenue from recurring software products and recurring post-production services increased year-over-year by 14.7% to $108 million compared to $94 million in Q1 of 2024. Recurring and recurring revenue in Q1 2025 represent 79% of total revenue. The revenue from implementation totaled $28 million compared to $40 million in Q1 of 2024. This reflects the completion of several go-live projects and the extension of existing implementation projects over a longer timeframe. Additionally, revenue from deals we signed in Q4 of last year is expected to materialize and ramp up starting Q2 of this year. Moving on to profitability, gross profit in the quarter was $63 million compared to $61 million in Q1 of 2024. The gross margin in the quarter was 46.3% compared to 45.4% in Q1 of 2024, representing an increase of 90 basis points. The increase in gross margin was primarily due to a higher recurring and recurring revenue ratio. Operating profit in the first quarter of 2025 was $25 million compared to $24 million in Q1 of 2024. Operating margin was 18%, slightly lower than the 18.1% margin in Q1 2024, and in line with our target. Net income attributable to Sapiens International Corporation's shareholders for the first quarter of 2025 was $21 million, an increase of 1.3% compared to Q1 of 2024. Earnings per diluted share were $0.37 for the first quarter of 2025 compared to $0.36 for the comparable period. Turning to our balance sheet, as of March 31, 2025, we had cash and cash equivalents and short-term deposits totaling $206 million and debt of $20 million. In April 2025, we paid a cash dividend of $16.8 million or $0.30 per share for the second half of 2024. The dividend is in line with the company policy of distributing on a semi-annual basis up to 40% of its annual non-GAAP net income. In addition, the Board of Directors has approved the distribution of a special cash dividend of $0.36 per share or $20.1 million in total. In declaring the special dividend, the Board of Directors evaluated Sapiens International Corporation's financial stability and determined that issuing the special dividend was both prudent and an appropriate way to reward our long-standing shareholders. Adjusted free cash flow for the first quarter of 2025 was $23 million compared to $17 million in Q1 of 2024. Let me now review our revised guidance for 2025. Revenues: Today, we are raising our non-GAAP revenue guidance to a range of $574 million to $578 million from the previous range of $553 million to $558 million, representing growth of 6% at the midpoint. Profit: We are also revising our non-GAAP operating profit to a range of $94 million to $96 million with an operating margin of 16.5% at the midpoint. A range of $98 million to $102 million with an operating margin of 18% at the midpoint. We expect Q2 2025 operating profit to be in the range of $20 million to $21 million. The revised revenue and operating profit guidance assumes the following: revenues currency fluctuations are expected to impact our revenue going forward, primarily driven by the strengthening of the euro and British pound against the US dollar. In addition, in April, we signed agreements to acquire Candela in APAC and Advantage Go in the UK, and we expect both transactions to close towards the end of the second quarter. We currently anticipate the aggregate impact on revenue to be approximately $21 million at the midpoint. Profit: Foreign exchange movements are expected to have a positive effect on our profitability, offset by the impact of recent acquisitions. While Candela is expected to contribute positively to profit in Q4, Advantage Go will remain loss-making throughout the year. Please also note that Candela and Advantage Go were subsidiaries of a larger organization, and not all their assets and functions were consolidated under a single legal entity. This adds complexity to the integration process, including areas such as cloud migration, legal entity closure, and employee transfer. We anticipate that the aggregate impact on profit to be approximately negative $5 million at the midpoint. In summary, while we see a short-term dip in our profit and margin due to acquisitions, the strategic value and recurring revenue stream from these acquisitions position us for robust growth and enhanced profitability in the future. Looking ahead to 2026, we expect our revenue growth to be in the mid to high single digits range, and we are also looking to improve profitability as we have proven successfully in past years. Please note that the recent proposed tariff changes currently do not have a direct impact on Sapiens International Corporation. However, they may pose a risk if they affect our customers, which could in turn impact our results. We did not include tariff impact in our current guidance. Before I turn the call back to Roni Al-Dor, I would like to reiterate that we remain fully committed to disciplined execution of our strategy, driven growth, and long-term profitability. Thank you. I will now turn the call back to Roni Al-Dor. Roni?
Roni Al-Dor: Thank you, Roni. We delivered a solid first quarter reflecting the progress across our key markets. In summary, Q1 2025 marks another quarter of operational progress. We remain committed to delivering long-term growth across all our key territories. We are continuously exploring M&A opportunities, and our most recent acquisitions of Advantage Go and Candela serve as a channel to enhance our go-to-market strategy in key regions we are targeting in order to accelerate our growth trajectory. I will now ask the operator to please open the call for questions.
Operator: Thank you. Ladies and gentlemen, at this time, we will begin the question and answer session. If you wish to cancel your request, please press 2. If you are using speaker equipment, kindly lift the handset before pressing the numbers. The first question is from Dylan Becker of William Blair. Please go ahead.
Dylan Becker: Hey, everyone. Nice job here. Hope everyone's well. Maybe Roni Al-Dor or Alex Zukerman, starting with you. On the underwriting workbench side, this is an area we've continued to hear kind of positive momentum around in the P&C space. You kind of touched on it in the prepared remarks, but wondering how you think about that acquisition in particular, the opportunity to kind of accelerate some of the traction and momentum you're pushing forward on in North America as well as globally. And then for Roni Giladi, how you think about the benefits to the model from that transaction as well, too, as it relates to kind of the growth profile of that business, the gross margin component, the recurring mix as a part of this kind of ongoing model evolution?
Alex Zukerman: Hey, Dylan. This is Alex speaking. So first, spot on on the market acceleration point. We've seen the underwriting space rising very substantially over the past year. A lot of traction in the market, the need of the P&C industry to run better risk assessment and to connect it to its processes. We saw great traction on this, and this is very much in line with our strategic approach to the market and with our platform offering. We see the Advantage Go acquisition serving us across multiple aspects of our business. When we look, we can speak about the support that it's going to bring us in the U.S. market. We see many, many deals of underwriting in the U.S. market, and connecting it to our platform is definitely answering the market needs. Similar approach in Europe, on the P&C side. I'd like to uniquely add also the London market, which is close to $60 billion GWP market that we today are not active in. Advantage Go allows us to go straight into this market with a strong product, and this is also helping us. We expect it to help us on the cross-sell because we can take it back to all our existing base on the P&C side globally, both U.S. and Europe, and enhance our offering to them.
Roni Giladi: Dylan, regarding the metrics of the model implication of this acquisition, so obviously, as we mentioned, we expect with this transaction that overall Sapiens International Corporation will grow next year from a mid-single-digit to mid-to-high single digits. Specifically, if I'm going to Advantage Go, they are expecting to grow next year with double-digit growth. And in terms of metrics, their gross margin is higher than Sapiens International Corporation today, about 60%. If we look at Sapiens International Corporation overall, we have about 33% of our revenue coming from ARR, and they are slightly above 50%. Obviously, from a profit perspective, they are today losing money, but as we mentioned, we expect to move gradually over this year and 2026 and be profitable in 2027. So a lot of upside in terms of gross margin in ARR, and as we've been able to successfully do the transition of other companies to profit, we expect to do this also with Advantage Go.
Dylan Becker: Okay. Fantastic. Very helpful. Thank you there. Also, it seemed like the life side is continuing to see healthy kind of broad-based momentum. We've talked about kind of competitive dynamics there in the past. But how should we think about that kind of step up in the L&A business today? Kind of the share of the mix that it currently represents, maybe its growth profile, and how you think about kind of the evolution on the L&A side of the house as well?
Alex Zukerman: So from it's Alex again. From the business perspective, definitely we see continuation of the trend that we reported over the last couple of quarters. Strong demand on the life side, across, again, North America and Europe. In North America, we see the platform proposition combining core suite together with the underwriting, illustration, and application connected to digital and data as a whole makes a huge market differentiation. It brings a lot of traction in the market. The pipeline keeps on growing, and the business keeps on growing. We expect to continue this trend. Similar trend in Europe and UK where we also start to enter into sales processes on pension and retirement. If we focus most of our business in Europe on protection and risk, we are also stepping into the wealth and the investment management and the pension. So both sides we see and expect to continue the growth.
Roni Giladi: Also from a metrics perspective, we see a gradual increase of overall life on overall revenue of Sapiens International Corporation. So if we ended the usually we are providing this metric by the end of the year. Was 25%, this quarter already 26%. And if we compare to Q1 of 2024, we're almost 300 basis points more. So from 23% to 26%.
Dylan Becker: Okay, great.
Operator: Thanks. The next question is from Chris Reimer of Barclays. Please go ahead.
Chris Reimer: Hi, thanks for taking my questions and congratulations on a strong quarter. Was wondering if you could talk about how you see the revenues progressing playing out through the rest of the year? Will there be any kind of heaviness toward the end of the year, or will it be evenly dispersed? And then if you could just talk about some of the drivers contributing to your outlook.
Roni Giladi: Hello? Yes, I will answer. I think I heard the first section. So if we look at the revenue stream going forward this year 2025, we see we didn't close the two acquisitions that we mentioned, neither the Advantage Go nor Candela, but we expect them to close during the end of this quarter. So we see a gradual increase in Q2 but then jump into Q3 and Q4, with Q4 being slightly higher than Q3. So gradual increase in Q2 depends on the closing date, and then higher in Q3 and Q4 higher than Q3.
Chris Reimer: Got it. Yes. And then could you just mention any of the drivers you are seeing behind the outlook?
Roni Giladi: In terms of overall growth of the company, nothing has changed from the previous outlook that we gave. The growth is the continuation of the organic growth that we mentioned, plus some currency tailwind that affects our revenue and, of course, the acquisition. We are not sure about the exact consolidation date, so that is the reason for the number that we provided. But mainly continuation of the organic growth, currency tailwind, and the M&A.
Chris Reimer: Got it. Thanks. That's it for me.
Roni Giladi: Thank you. Thanks.
Operator: The next question is from Elyse Kanner on behalf of Alexey Gogolev of JPMorgan. Please go ahead.
Elyse Kanner: Hi, this is Elyse Kanner on for Alexey Gogolev. Thank you for clarifying the guide. Is there any further detail you can provide on how much exactly is a currency tailwind versus how much you contribute to inorganic growth?
Roni Giladi: Hi. This is Roni G. As we mentioned, we do not know the closing date, and therefore we are not providing the split of the currency versus the M&A impact. We will provide this by the end of the year, the exact amount as we are doing all the time in terms of currency and M&A. Currently, blended is the amount that we are providing, $21 million in incremental. What I can say is the vast majority is coming from the M&A and slightly on the currency tailwind.
Elyse Kanner: Got it. Thank you. And then in terms of getting 60% of customers to the cloud, should we expect that to look like a bell curve? And are we still kind of on the left side, maybe approaching the peak where you'll see the most transition to cloud? Thanks.
Roni Giladi: We are seeing the trend that we mentioned last quarter and prior to that, we are continuing moving to the cloud, existing and new. As we mentioned all the time, almost 100% of the deals, if not 100%, are on the cloud, the new logo. And every quarter, we are shifting some customers to the cloud. We'll provide the exact percentage by the end of this year.
Elyse Kanner: Got it. Thank you so much.
Roni Giladi: Thank you.
Operator: If there are any additional questions, please press 2. There are no further questions at this time. Before I ask Ms. Cohen-Ifrah to go ahead with her closing statement, I would like to remind participants that a replay of this call is scheduled. In the U.S., please call 8060. In Israel, call 25038. And internationally, please call 9007239255938. Ms. Cohen-Ifrah, please go ahead.
Yaffa Cohen-Ifrah: Thank you, Operator, and thank you everyone for joining our call today. We really look forward to discussing our first quarter results and our second quarter results on our next earnings call. And of course, as usual, we welcome you to contact us if you have any further questions. Thank you all for joining.
Roni Al-Dor: Thank you.
Operator: This concludes the Sapiens International Corporation First Quarter 2025 Results Conference Call. Thank you for your participation. You may go ahead and disconnect.